Operator: Good day, ladies and gentlemen and welcome to the Matrix Service Company conference call to discuss results for the Fourth Quarter of Fiscal 2018. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call maybe recorded. I would now like to introduce your host for today’s conference, Kellie Smythe, Senior Director of Investor Relations. Ma’am, you may begin.
Kellie Smythe: Good morning and welcome to Matrix Service Company’s fourth quarter earnings call. Participants on today’s call will include John Hewitt, President and Chief Executive Officer and Kevin Cavanah, Vice President and Chief Financial Officer. The presentation materials we will be using during the webcast today can also be found on the Investor Relations section of Matrix Service Company website. Before we begin, please let me remind you that on today’s call, the company may make various remarks about future expectations, plans and prospects for Matrix Service Company that constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2018 and in subsequent filings made by the company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company’s website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John Hewitt: Thank you, Kellie. Good morning, everyone and thank you for joining us. Today, as you know is September 11. It was on this day, 17 years ago, when incomprehensible and senseless acts of terrorism targeted the World Trade Center in Washington DC. 2,977 people died because of those acts and thousands more were injured. Among them, not only those who were put directly in harm’s way, but also the first responders who rushed towards danger to save others. As we begin our call today, I would like for us to take time to remember them. For these people, their right to a safe environment was taken away. As we take time to remember them, I also ask that each of us contemplate the fact that except for extraordinary events like 9/11 through our own behaviors and actions, we have the ability and the obligation to protect ourselves and those around us from harm. Each of us has the right to go home safely at the end of each day. So as you go about your daily life, please choose to own safety for yourself as well as those around you, you can make a difference in the lives of others. For our Matrix employees who are listening, I want to thank you for another year of record safety performance. By putting safety first, our company finished the fiscal year with a total recordable incident rate of 0.49. Turning now to our performance and outlook, on past calls, we have talked about the cyclical nature of some of the end markets we serve and the fact that industrial contractors like Matrix traditionally lagged behind changes in commodity pricing, macroeconomic developments and client sentiment, both good and bad. Accordingly, we are historically the last to be impacted or to recover from these cycles. This has certainly been the case with the protracted downturn in capital spending following the collapse in oil prices in 2014 and the slow has been recovery that began in 2016, but which is now only beginning to yield higher investment by our customer base. Fortunately, we entered this period with a record backlog, which helped us bridge a portion of the gap, this end-market had created. However, for the last 18 months, we have had to balance our cost structure and strategic plans against a very competitive environment with limited capital work and a higher percentage of lower margin maintenance work, all the while positioning ourselves for the wave of expected projects created by the upturn in our end-markets. In calendar 2017, our customers finally began to experience real recovery as a result of continued improvement in commodity pricing, the fastest growth in global GDP in 6 years and a more business friendly regulatory and legislative environment. While some portions of our business began to recover in early fiscal 2018 such as our iron and steel business, the majority did not begin to feel improved bidding award cycles, pricing and volumes until late fiscal 2018. Delayed timing of awards and starts as well as depressed volumes in electrical infrastructure and storage solutions led the low overall revenue volumes for the year and associated under-recovered construction overhead costs. This was the key driver in our operating results for fiscal 2018. We also recognized on asset impairment in our Electrical Infrastructure segment because of a directional change in strategy and competitive market pressures in our core high voltage business. Kevin will review this in more detail later in the call. That said, on stronger market conditions today, we are seeing on a much improved backlog position and expectations that the strong award cycle exhibited in Q3 and now Q4 will continue and resulting revenue volumes will improve as we move through fiscal 2019. Despite the challenges and disappointments over the past 18 months, I want to highlight that we achieved significant accomplishments that position us for success as we move forward. Specifically, we maintained a relentless focus on safety and for the second consecutive year achieved a total recordable incident rate of 0.49 thus assuring our position as a highly qualified contractor to our clients. We continue to execute against our strategic plan with the goal of achieving $2 billion in revenue by 2022. And in accordance with that plan continued to leverage the strength and diversification of our business model to pursue work across our operating segments and enter international markets. For example, in Mexico we are partnering with GDI, an in-country leader in pipeline infrastructure, on the EPC of IEnova’s new marine liquids terminal at the Port of Veracruz. We continue to focus on taking costs out of the business without sacrificing the resources and the capacity needed for the work we knew was coming. For example, we have limited capital expenditures and focused on other cost control measures throughout the business including the rate of SG&A growth, streamlining the construction overhead, consolidation of office locations and divestiture of non-core assets. We strategically and proactively repositioned our service offering in Electrical Infrastructure segment to limit risk and position the company to improve volumes in that segment. We have moved away from large scale power generation projects to smaller packaged type work, which is beginning to gain traction. Our organic focus to expand high voltage electrical beyond our dominant Northeast and Mid-Atlantic market territory into the Midwest and elsewhere has kicked off with the completion of two key client master service agreements. We successfully managed the large power generation projects of positive and mutually acceptable conclusion while maintaining the relationship with our client. We completed the integration of the engineering business we acquired in late 2016 which tripled our engineering staff, added technical depth, expanded our capacity in terminals and added new skill sets in marine structures, gas processing, sulfur and material handling. This strategic addition has provided key resources and strength to our ability to greatly expand our backlog most noticeably into project awards you are now seeing in our Storage Solutions segment. As always we took a considerable approach to managing our balance sheet and in fiscal 2018 paid off nearly $45 million in borrowing largely related to our engineering acquisition. As such we began fiscal 2019 with zero debt and liquidity sufficient to support the business growth that we are expecting. There are examples of great project performance outcomes in some of our legacy backlog which helped to offset the challenging market environments through which we were navigating. We made a strategic shift in our service offering in California to support the changing business conditions our energy clients faced as a result of the passage of state Senate Bill 54, a shift that is already creating strong growth opportunities for the company. By focusing on our employees, Matrix is once again certified as a great place to work. We have worked hard to become an employer of choice with a work environment that is inclusive and diverse in a place with the best and the brightest work, live our values and share a strong positive culture. And finally, we completed the Board refreshment process that has brought more diversity and new perspectives with enhanced expertise in the end markets we serve, the EPC business, corporate governance and finance. There is no question that we are emerging from the protracted downturn in capital projects and depressed maintenance spending across the end-markets we serve. Following the improved trend, the project awards, including third quarter awards of $435 million, we booked $598 million in awards in our fourth quarter. We ended the fiscal year with project awards of $1.63 billion, an increase of 54% over fiscal 2017 and in our fiscal 2019 with a much healthier backlog than we have experienced in sometime, $1.22 billion at June 30, 2018, up 79% in the year and the highest backlog in nearly 3 years. As we look forward, we expect continued strength in project awards across all of our operating segments. In storage solutions, you can expect project awards to include storage and terminal work for crude, refined products, natural gas and gas liquids. In Oil, Gas & Chemical, we are seeing a return to higher margin turnaround, maintenance and repair work inside refineries across North America. We are also seeing expanded opportunities in upstream gas processing and compression created for us by our strategic engineering expansion. And in our industrial segment, we continue to see an uptick in capital projects in iron and steel, where we have a preeminent brand position. For example, in addition to work previously awarded in fiscal 2018, longstanding customers like U.S. Steel have publicly committed to spending at least $750 million to upgrade their Gary Works facility as part of a $2 billion company-wide asset revitalization program. Given our extensive expertise in serving the integrated producers and our longstanding relationship with U.S. Steel, we expect to earn our fair share of that work. Beyond our work across U.S. Steel’s facilities, we support all the integrated producers as they startup and revitalize their facilities. In our electrical segment, we saw an improved book-to-bill of 1.6 in the quarter, which represents our higher quality and more diverse backlog. Over the long-term, we expect improvement in this segment. However, the timing of such may come at a slower pace as our geographic expansion gains traction and other market forces improve. In short, we are very pleased with our position moving into fiscal 2019 and the steady ongoing pace of high-quality awards we expect to receive as you move through the year. Based on our outlook, we expect significant improved operating performance and accordingly, the company’s fiscal 2019 revenue guidance is $1.25 billion to $1.35 billion with earnings of $0.85 to $1.15 per share. In closing, as we have put what has been a long painful down-cycle behind us, I want to thank our customers for your continued trust in our ability to meet and exceed your expectations and also thank our shareholders and employees for your resilience and resolve as we have weathered this storm together. I will now turn the call over to Kevin to discuss fourth quarter and full year results.
Kevin Cavanah: Thank you, John. The first item I would like to discuss is the $18 million impairment we recorded in the quarter. The impairment primarily relates to goodwill in the Electrical Infrastructure segment and was triggered by the following factors. First, our decision to shift our strategy away from full EPC power generation projects to smaller individual packages that better fit our risk profile and secondly, the recent trend of increased competition and sluggish maintenance and capital spending by some key clients in the Northeast and Mid-Atlantic high voltage markets. While these factors resulted in a non-cash impairment charge, we remain committed to the Electrical Infrastructure segment based upon the long-term market opportunities we see as well as our strategy to expand our geographic footprint in high voltage work. As a result of this impairment, we are reporting a $0.55 loss per share for the quarter and a $0.43 loss per share for fiscal year. In order to understand the true operating results for our business, the impairment must be excluded. Therefore, the adjusted earnings per share were $0.03 for the quarter and $0.15 for the full fiscal year. As I go through the remainder of my comments, I will utilize these adjusted EPS amounts. As you look at the fourth quarter results, the significant takeaways on our performance are as follows. First, our fourth quarter revenue of $293 million improved significantly from the third quarter revenue of $246 million. Growth in the industrial, storage solutions and oil, gas & chemical segments drove this $47 million increase, which was 19% over the third quarter. Second, our earnings return to profitability as a result of the increased revenue in the fourth quarter. Our adjusted EPS increased to $0.03 as compared to the $0.19 loss per share reported in the third quarter. The improvements in both revenue and EPS were consistent with our expectations and the updated guidance we provided last quarter. Last quarter, we also communicated our expectation of continued backlog growth in the fourth quarter. As John noted we are pleased with the quarterly project awards of $598 million. This is the highest level of project awards in 13 quarters and the second highest in our company’s history. This brings our full year project awards to over $1.6 billion which is also our second highest level in company history. These project awards resulted in a quarterly backlog book-to-bill of 2.0 and a full year book-to-bill of 1.5. We end the year with backlog of over $1.2 billion which is up 79% from the beginning of the year. This bodes well for much improved operating performance in fiscal 2019. Now, I will discuss specific results for the fourth quarter as compared with the same period last year. Consolidated revenue for the quarter was $293 million compared to $292 million last year. While total revenue was up slightly year-over-year the mix in the quarter shifted across the segments. Our Storage Solutions and Industrial segment saw a significant improvement this quarter. This strength was offset by lower year-over-year revenues in the Electrical segment. To reiterate an important point we made to you recently, we believe the longest quarters of revenue are behind us and expect the revenue in future quarters to reflect the strong increase in backlog and the improved end markets in which we serve. We expect revenue at the start of the year to modestly increase as the projects reflected in our growing backlog ramp up we expect that ramp up to complete as we reached the middle of the fiscal year. The company reported consolidated gross profit of $21.5 million during the quarter compared to $23.1 million during the fourth quarter of prior year. Our overall gross margin for the quarter was 7.3% compared to 7.9% in the prior year. Gross margins in the current period were lower than our normal expectations due to the lack of favorable project closeouts and as we continued to complete lower margin works that were signed prior to the recent improvement in the markets we serve. We expect better gross margins as we move through fiscal 2019 on higher revenue volumes, improved margin profile of our backlog and resulting improvement in construction overhead utilization. Consolidated SG&A during the period was $20.6 million compared to $19.6 million one year ago. The increase was due to higher level of project pursuit costs. Our effective tax rate in the quarter was negatively impacted as a significant portion of the impairments was not deductible for tax purposes. As a reminder we expect our effective tax rate to be approximately 27% moving forward. Now let me talk briefly about fourth quarter segment performance. Storage Solutions produced consolidated revenue of $96 million compared to $80 million in the prior year. The increase was driven by recovering levels of capital spending which has resulted in a modest improvement in recovery of construction overhead costs. Gross margins in the quarter were 9.1% as compared to 8.4% in the prior year. The margin opportunity, the work performed and the absence of positive project closeouts in the quarter prevented us from achieving our normal expected gross margins of 11% to 13%. The pace and size of new project awards bodes well for future revenues volume and margins in this segment. In our Electrical Infrastructure segment, revenue of $53 million is well below the prior year level of $100 million. The lower revenue was driven by two separate factors. First, the expected decline in revenue from EPC power generation. And secondly, a lower volume of high voltage revenue due to the market conditions in the limited geographies in which we operate. Primarily for these reasons gross margins in the quarter were 5.2% as compared to 8% last year. Going into fiscal 2019, we expect improvement in this segment. However, the timing of the core market recovery and the expected benefit of our geographic expansion could be slower to materialize. Based on the current market environment, our margin expectations for this segment are now 9% to 12%. In the Oil Gas & Chemical segment, revenue was $80 million compared to $83 million one year ago. The slight decrease was a result of lower capital work, partially offset by higher volumes of maintenance and turnaround work. A majority of this segment is operating within our long-term margin expectations of 10% to 12%. However, the actual consolidated gross margins, was 7.3% as compared to 7.1% in the prior year reflected some legacy lower margin work. The industrial segment delivered yet another solid quarter. Revenue of $64 million was significantly higher than the prior year figure of $29 million, driven by the significant rebound in orders from our iron and steel customers that began early fiscal 2018. Gross margins of 6.4% were near the bottom of our expected range of 7% to 10%. Margins were 8.7% in the prior year. I will now briefly touch on full year results. For the year, we produced revenue of $1.092 billion and adjusted earnings per share of $0.15. These amounts were within our previous guidance for revenue of $1.075 billion to $1.1 billion and EPS of $0.15 to $0.20. Moving to our balance sheet, as of June 30, 2018, our cast balance stood at $64.1 million. We were able to increase cash by $20.3 million during the year. We produced $74.7 million from operations, which was largely offset by $44.9 million of debt repayments and CapEx spend which was limited to 0.8% of revenue. We begin fiscal 2019 with zero debt and liquidity of $137.2 million. Finally, I would like to talk about guidance. As John said earlier, the past couple of years have been challenging, but we enter fiscal 2019 with improved markets and a strong backlog. Operating volumes will grow as activities on the significant project awards the last two quarters ramp up. The revenue volume should show modest improvement in the first quarter and then grow from there. For the full year, we expect to produce revenue of between $1.25 billion and $1.35 billion and earnings per share of $0.85 to $1.15. We will now open the call up for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Tahira Afzal with KeyBanc. Your line is open.
Tahira Afzal: Hi, John and Kevin.
John Hewitt: Good morning, Tahira.
Tahira Afzal: I guess first question from me is as you look at – as I look at your revenue guidance, it seems to imply a slower burn rate, much slower than what we even saw last year, could you put that into perspective? You clearly have some large projects, so they have maybe a slower burn rate, but should I assume there is a bit of conservatism on how these projects move forward, any color on permitting your incision [ph] of your large orders would be helpful?
Kevin Cavanah: So I think there is really three factors that you need to think about when you are looking at the backlog growth and the burn rate. So first of all, these projects that we have booked this last 6 months are longer term projects, many of them are 2 plus years and so a little bit different from the smaller projects we have booked the past couple of years that burn off within normally 12 months. So, it will burn off slower there. Secondly, we have got projects that we have already started on, but the first phase is our engineering, it’s not related to fields for 3 to 6 months on these projects. So as a result, the ramp up will be slower than you might normally expect. And so when we look at the – finally when we look at the backlog, as I said, I think we expect modest improvements in the first quarter and then it’s going to – part of the second, third quarter, you really see the ramp up. So, that’s our expectation. And as we have set that expectation, we have tried to consider the risk related to project slippage that’s impacted us in this last couple of years, and we think we have factored that into our expectations.
Tahira Afzal: Got it. Thank you, Kevin. And if I look at the backlog you are taking in, there are so many factors obviously that determine really the margins embedded in that backlog, but any directional sense versus where you ended this year in terms of gross margins?
Kevin Cavanah: Yes. So I think the backlog we have added, we call it quality backlog. These are good projects with better margins for us. And obviously, storage solutions has led the way in the growth and we think that those are going to produce fair margins and in our expected range of 11% to 13%. When you think about margins as you go through the year, I think you will see a progression. We are still working off some lower margin work that we signed before the markets improved you saw that in the fourth quarter. There will be a little – some of that still in the first quarter, but as we move to the year, we will get closer to the – should get closer to the margin expectations we have set.
Tahira Afzal: Got it. Okay, Kevin. And I have got lots of questions, but I will just hop back in the line.
Operator: Thank you. Your next question comes from John Franzreb with Sidoti & Company. Your line is open.
John Franzreb: Yes. Let’s stick with the gross margin profile. Now that you did the write-down in Electrical, have your expectations on what the gross margin outlook for that business changed at all?
Kevin Cavanah: So, I think that we previously had a publicized range of 11% to 13% for that segment. We kicked that down last quarter since well we have seen some weakness in the segment, but we didn’t really think it was as bad as what it’s actually been. So, we felt lying at the 9% to 12% this time as the guidance for this year. I was hoping to perform lower than that in the fourth quarter, but I think we are seeing an improvement in the markets in which we served and so we believe we are going to be moving back up into that range as – when they are through fiscal 2019.
John Franzreb: Okay. And the last time the storage backlog was as strong was a few years back when you had Dakota Access in the mix, could you talk a little bit about the projects that are in the storage mix? It doesn’t sound like you have significantly large jobs that are swaying it like Dakota did, but can you talk a little bit of a) what that mix looks like and b), how long have those projects been on the books and what are they learning from these new projects or the stuff that was deferred?
Kevin Cavanah: So – we got mix, which is good. We have got a mix of projects everywhere from full EPC crude storage terminals to individual crude and refined product tank awards as well as specialty vessels and spheres and tanks for natural gas liquids. And so it’s really – and it’s just a good mix of work and geographically it’s fairly diverse between Oklahoma and Texas and we have work up in the Colorado area and California and we have worked on Florida that we are doing. So, it’s a pretty good mix of work that we are seeing throughout the business. And so we have projects, some projects that are in the $200 million to $300 million range and projects that are down in the sort of typical tank market in the $5 million to $15 million. So, we really like what we are seeing and we are continuing to see a very strong pipeline in storage in general across all the energy medias and across a lot of different geographies. One of the big drivers we see though is the exporting of crude and refined products, gas and gas liquids, but a lot of these projects are associated with them in some form of action.
John Franzreb: Okay. And then last question I will get back into queue. Just on that order pipeline you referred to John, last quarter you kind of said that you fully expected Q4 to be similar order intake as Q3. I don’t know if I might have missed it, but what kind of color do you think about the order pipeline in Q1 versus Q4? Should we expect a step down as a meaningful step down, do you expect something similar? Can you kind of give us color on what the order intake will look like going forward in the near term?
John Hewitt: Well, we think during the course of the year, our book-to-bill will be in excess of 1 during the course of the year. Some quarters it should be a little stronger than others. What we are seeing right now from a storage perspective is near-term projects are probably more along the lines of crude-related type of work and we would expect towards the back end of this fiscal year to start to see us flip I think more LNG and gas-related projects into our backlog. So again, we will get into a situation I think on our order pipeline or project pipeline where we are going to be able to be a little more choosy on the projects that we are going to put a full-court press on and I think the projects where we are going to be able to start to overlay from a timing perspective on the projects that we have where there will be a nice follow-on projects as the ones – as some projects finish up, we will be able to move into other opportunities.
John Franzreb: Great. That’s good to hear. Thanks for the color. I will get back into queue.
Operator: Thank you. [Operator Instructions] You have a follow-up question from the line of Tahira Afzal with KeyBanc. Your line is open.
Tahira Afzal: Hey, John and Kevin. So, as you opened up the Pandora’s Box by bringing up LNG, so here I go, I mean Magnolia, we don’t know for sure when it’s happening, but it seems like golden pass, there could be two outcomes, one that might favor you, so any comments there? And then with Venture Global, it seems that project has run where KBR is in full position, KBR does not have storage solution, any thoughts around that from you as well?
Kevin Cavanah: These large scale LNG export terminals, we are supporting those projects from a bidding perspective. Our near-term focus is more on the small and medium scale projects that are providing ship bunkering for LNG or providing export for small scale export maybe into the Caribbean projects that are providing LNG into – for power stations in the sort of the Mid-Continent. So we are not really – we are not completely counting I would say, this fiscal year on some big awards in LNG exports. I think they are coming, they are out there, but we are right now more focused on these smaller mid-scale kind of terminals. So, similar to the one we are building a project right now in Arizona, which is going very well, it’s about 30%, 40% complete for Southwest Gas. And so that’s – again, that job is – that project is really about the clients storing gas at low demand periods and have the gas available during high demand periods just to put gas into their pipeline to serve their client base. So we are seeing quite a lot more near-term opportunities around those kinds of projects.
Tahira Afzal: Got it, okay. And with the small and medium scale LNG and bunkering that – does that involve orders tied to IMO 2020, John?
John Hewitt: I don’t know specifically, I would say some of that, I mean there is – we are seeing projects in Florida that are related to cruise ships that are doing fuel switching. Some of the new cruise ships have been reported that as they build their new ships, they are going to be powered with LNG and so some of that is driving some of the projects that we are looking at in some of those markets.
Tahira Afzal: Got it, okay. So it seems there is a whole lot of different opportunities, if you look at your prospects pipeline and divide it up into what you are the most excited about over the next 12 months, what would that be?
John Hewitt: I think probably storage is – I think storage is probably number one. I think we are seeing a lot of strength in our refinery maintenance and turnaround business, where we are expecting that to continue throughout this fiscal year. We think we are in a really good position. They really start to take advantage of the upstream gas compression and processing markets and with our new engineering capabilities. And I think the electrical business while we have had a little bumpy ride there, but as Kevin said we are starting to see some strength return in our core markets in the Northeast and we are starting to see some real traction to our services and to clients in the Midwest where we have – as we noted we have signed some contractor choice MSA arrangements with few of the big public utilities. So we are seeing a lot of opportunity there. In industrial frankly, there it’s continuing to be very strong and our brand position there in the iron and steel business, it’s really got us on a great spot, but the number one thing, I think we are going to see for us is in oil tank storage.
Tahira Afzal: Got it, okay. Okay, that’s good to know. And I guess last question from me as a follow-up, if you look at the guidance you have given on the EPS side, what would place it at the low end versus high end? Is it more execution and timing on what’s already in backlog or are we still dependant somewhat on new orders coming through?
John Hewitt: I think it’s more execution and starts. So while the majority of projects that we have put in backlog are all rolling and we are not having permitting issues or there is no financial close issues with those projects, but just we get through this engineering process, clients still have the opportunity to make some changes during an engineering process. They maybe looking for different alternatives in their facilities and so that could potentially slow when we actually start construction, it could slow when we start to buy the more expensive engineered pieces of equipment and so that can slowdown our revenue ramp up, what’s really going to drive our revenues up to higher levels. New awards, we think new awards are going to – are important to our completion to hit these – hit our revenues this year, but they are not as significant an issue as they were in fiscal 2018.
Tahira Afzal: Got it, okay. Okay, thank you, guys.
John Hewitt: Thank you.
Operator: Thank you. And you have a follow-up question from the line of John Franzreb with Sidoti & Company. Your line is open.
John Franzreb: Yes. You have got a clean balance sheet, can you talk a little bit about your thoughts on capital structure and also on M&A and the opportunity pipeline out there?
John Hewitt: Yes. On M&A, we are – right now, for the – at least for the first part of the – first half of the year, we are going to be pretty focused on operations and performance and get these projects kicked off and making sure those things are happening that we are delivering to the bottom line what we forecast we can deliver. And I think we will probably get a little more serious about M&A opportunities as we move into the back half of the year, that’s where our heads are right now. There is a lot of – continues to be a lot of opportunities out there. As we said in the past, one of our focused areas will be Electrical Infrastructure segment and that will probably accelerate our expansion. And while we are also looking for other contractors that will help deepen our bench and provide potentially more technical resources as we expand our engineering capability.
John Franzreb: Okay, that’s it for me. Thank you, guys.
John Hewitt: Thanks, John.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the call back over to John Hewitt, President and CEO for closing remarks.
John Hewitt: Thanks to everybody for being on the call today and we look forward to seeing you on our next earnings call. Thank you.